Company Representatives: Adam Schechter - President, Chief Executive Officer Glenn Eisenberg - Executive Vice President, Chief Financial Officer Clarissa Willett - Vice President of Investor Relations
Operator: Ladies and gentlemen, thank you for standing, and welcome to the Q1, 2020 LabCorp conference call. At this time all participants are in a listen-only mode. . Please be advised that today's conference is being recorded. .  I would now like to hand the conference over to your speaker today, Clarissa Willett, Vice President of Investor Relations. Thank you. Please go ahead, ma'am.
Clarissa Willett: Thank you, Operator. Good morning and welcome to LabCorp's First Quarter 2020 Conference Call. As detailed in today's press release, there will be a replay of this call available via telephone and internet.  With me today are Adam Schechter, President and Chief Executive Officer; and Glenn Eisenberg, Executive Vice President and Chief Financial Officer. This morning in the Investor Relations section of our website at labcorp.com, we posted both our press release and an investor relations presentation with additional information on our business and operations, which includes a reconciliation of the non-GAAP financial measures to the GAAP financial measures discussed during today's call.  Additionally, we are making forward-looking statements. These forward-looking statements include, but are not limited to statements with respect to expectations for 2020 and the related assumptions, including the projected impact of the COVID-19 pandemic on the company’s businesses, operating results, cash flows and our financial conditions, our responses to and the expected future impact of the COVID-19 pandemic on our business more generally, as well as on general economics, business and market conditions.  Each of the forward-looking statements is based upon current expectations and is subject to change based upon various factors, many of which are beyond our control that could affect our financial results. Some of these factors are set forth in detail in our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q, and in the company’s other filings with the SEC. We have no obligation to provide any update to these forward-looking statements even if our expectations change. Now, I'll turn the call over to Adam Schechter.
Adam Schechter: Thank you, Clarissa. Good morning, everyone, and thank you for joining us today. These are certainly unprecedented times in which we've been living and working as a result of the global pandemic. Every country, government, customer, shareholders and employee has been impacted by these turbulent times and LabCorp is no exception.  Given our unique role across the spectrum of diagnostic testing and drug development, we have risen to the challenge to help combat the virus. We are supporting the protection of both, those who are currently or previously infected by the virus and we're involved in the development of potential treatments and vaccines.  Our teams like many who are directly involved in fighting this pandemic, have been working around the clock, and they remain energized by all that we are doing to minimize the impact in the United States and around the world. 
Glenn Eisenberg: Thank you, Adam. I'm going to start my comments by discussing the impact that the COVID-19 pandemic had on our business, and then provide some details on our first quarter results. While we're not providing specific guidance today for the year, I'll provide some commentary on our current assumptions and expectations for the remainder of 2020.  As Adam noted, our combined diagnostics and drug development offering uniquely enables us to help combat the global COVID-19 pandemic, by supporting the detection of the virus through diagnostic testing, as well as the development of treatments. While we continue to play a critical role in combating this pandemic, COVID-19 has had an adverse impact on the performance of both of our businesses, albeit at different magnitude and in different ways. In our diagnostics business, at the end of the quarter, we experienced reductions in demand for testing a 50% to 55% versus the company's normal daily levels. This reduction in demand impacted testing volume broadly, but with a more heavily weighted towards routine procedures. It also impacted esoteric tests, but to a lesser degree due to the critical and time sensitive nature of these test results.  In addition, while we’ve ramped up capacity for COVID-19 tests, the impact of the new volume has only marginally offset the lower volume we're experiencing with our broader test offering. While not impacting the quarter, we are also focused on increasing capacity of our new COVID-19 serology antibody tests of over 200,000 per day by mid-May, along with the increasing capacity of COVID-19 at-home test kit offering. 
Operator: Thank you, sir. . Our first question comes from Lisa Gill from JPMorgan. Please go ahead.
Lisa Gill: Good morning and thanks very much. Adam, thank you for all that your team is doing on the front lines of these difficult times. I just really want to understand just a couple of things. As we think about the testing volume for both COVID-19 as well as Serology, can you first talk about the expectations around reimbursement?  And then secondly, I know that you’ve pulled guidance, but with the anticipation of $200,000 Serology tests today, how many tests do you expect that you can get on the molecular side, and do you think – I know you said you expected the number to be down this year, but is there an anticipation that potentially this testing volume could help to offset some of what you're seeing as far as traditional volumes?  And then just lastly, like when we think about volumes going into the back half of the year, what are your expectations around kind of getting back to more normalization? Will that happen potentially by the time we get to the third or fourth quarter? I know that's a lot of questions in one, but I just wanted to kind of understand how you think about these volumes. 
A - Adam Schechter: Yes sure. Good morning Lisa and I'll probably think – you know I've been involved with LabCorp now for six years and I began as CEO in November, and you know when an organization is pushed to the limits, you really learn a lot about the organization. And the people of LabCorp work so hard and are doing so much and care about their work in a remarkable way, and just you can get to see the heart and the soul of an organization and what I've seen is just amazing and I'm just very impressed with the people that I'm working with, the scientists, the front line workers, the phlebotomists, the carriers. The people that are building up capacity have just been outstanding, so I'm just – it's a pleasure for me to be able to work with such great people. With regard to testing, let me try to give you some background of where we are and where I see things going. So it was just about 45 days ago that we began testing. We're able to do several thousand tests a day. Right now we can do about 60,000 tests a day. I’m talking PCR testing first. I’ll get to Serology in a moment, and we're going to continue to build that capacity.  I don't know the exact number that we’ll be able to build to and how fast, but I would like to get over 100,000 tests per day as quickly as possible. The issue that you run into is you need additional machines and you can imagine there's lots of back orders and you know doing these RNA tests and the PCR test takes a lot of equipment. But we're going to try to build to get to over 100,000 as quickly as we can.  The interesting thing is for a short period of time when we're doing thousands a today, we did have some back orders for several weeks. We no longer have any back orders and in fact we have some additional capacity, so we're not using all of our capacity at the 60,000 per day right now. I think that's just short term and I think as states become up and running and back to business, I think that we will be at full capacity in the very near future, which is why we're trying to build more and more capacity as quickly as we can. So I believe that the PCR testing will be running at capacity for quite some time.  With regard to serology, it's still very early and it's not easy to predict. I think there's still some debate frankly in the marketplace on how to utilize the serology test and the way in which to go about using serology. Right now we can go over 50,000 serology tests a day, but we'll be able to do well over 200,000 a day by the middle of next month.  I don't know how long it will take though in order for us to use all that capacity per day and I think that there's several reasons why. One is, as companies, particularly large companies are coming back to work, some of them were talking about serology tests and doing them in a large scale, while some of them are saying they don't see the need. In addition to that, I believe there will be other ways such as point-of-care serology tests and I don't know how they are going to be used in the marketplace.  My expectation is that we'll be able to use most of our serology capacity as we get into the summer months and into the fall and I just don't know how quickly that will ramp up, but I think we'll be able to find ways to probably utilize most of the serology testing as we move forward through the summer. With regard to that though, when you think about those numbers, over 200,000 tests today in serology and maybe 100,000 tests over time for PCR, it's still a very small number compared to the 530 million or so tests that we do a year ago across all of our testing. So unless we start to see that come back, it will be hard for these tests to make up for the difference in what we've seen at the last weeks of March. Now the good news is we are starting to see a little bit less of a decline as we go towards the end of this month, and as the country gets back up and running, I would expect we'll start to see less of a decline over the summer. And assuming that there's no additional impact in the fall of this year with another impact from the COVID-19 virus, I would expect that as we get towards the end of the year a lot of the volume will come back and they always come back to the fact that what we did before was important for health.  I am worried right now that a lot of people that need diagnostic testing are not getting what they need. Once they feel comfortable again to go outside of their home, I believe they will start to go back for the diagnostic testing like they had in the past. Hopefully I’ve answered your questions Lisa. Thank you.
Lisa Gill: Yes, thank you.
Operator: Thank you. Our next question comes from Ralph Giacobbe from Citi. Please go ahead.
Ralph Giacobbe: Thanks. I just want to continue on the serology testing. I mean do you have any expectation of pricing at this point and timing of when CMS is going to release the rate? And then, is it your expectation that commercial rates are going to mirror those for serology and have insurers come up and match a $100 molecular test. Thanks. 
A - Adam Schechter: Yes, so let me start with the molecular testing. So molecular test, the reimbursed rate by Medicare is about – is $100, and that’s what we charge all customers, $100. We're trying to in this pandemic and time of need, we're looking for a consistency and we’re charging a consistent pricing across the market place.  We don't have a Medicare price yet for the serology testing. I'm not saying for certainty that that will be our price that we charge all customers, but if you look at what we've done with the PCR testing, that's something that I'll be looking at very, very closely. Again, I want to make sure that we're seeing and doing everything we can in this pandemic to help in every way which we can, and I think that we should know something hopefully in the next days, certainly not more than a week or so I would expect. 
Operator: Thank you. I see our next question comes from Kevin Caliendo from UBS. Please go ahead.
Kevin Caliendo: Thank you. Good morning! I like to talk a little bit about the CRO. Have you seen any cancellation yet in anything and how the three segments are performing from a demand and disruption standpoint. The level of work that you can continue, any sort of visibility around that, you can break it down by the three CRO segments and maybe when you expect to get some activity ramping back up as the year progresses. 
Adam Schechter: Sure. Good morning, Kevin. So a couple of things here. First one, with regard to cancellations, in the first quarter we saw about the same number of cancellations that we would expect to see in any quarter. So we didn't see an acceleration of cancellations.  With regard to the overall CRO business, you know we continue to have growth despite COVID-19 in the first quarter, but obviously towards the end of the quarter we started to see a significant impact of people postponing trials. Interestingly that business started to be impacted a little bit earlier than the end of March, because we do have a dental laboratory business in China. The impact there was earlier than the United States and we've actually seen our business in China start to pick up as China has begun to open up.  But what I look at more than the segments and the timing of them coming back, because they will come back, is what's happening in the marketplace right now and I mentioned that if you look at the COVID-19 trials, whether it would be for vaccines, whether it be central laboratory work or it be early stage development for antiviral, we are winning more than our share would predict. In fact, almost twice the amount of studies as a percent that what you would have expected on the share. I think that's truly demonstrates the power of the combined.  When I watch what our teams are doing and our diagnostic teams are joining our drug development team in conversations with clients, and even with our diagnostic teams, our drug development teams are coming into the diagnostic discussions to help understand what is being done in the marketplace and the studies that are underway, we are really starting to see significant advantage of having both the diagnostics and drug development business.  Now most of the trials are pre-clinical or Phase I. Even there we’re winning more than our fair share of market, but what I wanted to say is that those vaccines and those antivirals going to Phase II and Phase III, that we continue to win above what our market share would suggest. So I'm excited about the long term prospects for certain. I'm seeing the power combined.  How quickly the business comes back is going to be determined as to some extent how quickly markets around the world open up, particularly for the Phase III clinical trials, because most of those are global clinical trials. But I would say that we are optimistic that the world needed what we did before this and certainly with what's happening today in the trials for COVID-19, I think our capabilities are needed even more so in the future. 
Kevin Caliendo: Thank you. 
Operator: Thank you. Our next question comes from Dan Leonard from Wells Fargo. Please go ahead.
Dan Leonard : Thank you. So trying to understand the organic volume growth trend in the quarter in your lab business and in the disparity versus your large competitor. Can you comment on maybe any share dynamics in the quarter and were there any lingering headwinds from the expanded managed care access for your competitor or has that all annualized at this point? Thank you. 
Adam Schechter: Yeah, I’ll give some context and I’ll ask Glenn if he wants to just jump in. But you know basically you saw our decline of between 50% to 55% towards the end of the quarter in terms of volume in the last several weeks of March, and we've seen that kind of level off, and I'd say in the last couple of weeks we've actually seen it begin to come back a little bit.  We saw a little bit of a change in mix as well that the esoteric testing did not decline as fast as the overall testing did and that's not a surprise, because esoteric testing typically is more in severe diseases and so forth. That's a little bit of why you saw an increase in our average price for the quarter, it’s because the esoteric business held a bit stronger than the typical regular diagnostic business.  But as we go forward we would expect both businesses to begin to pick up and assuming that the country begins to come back to work and as we get to the summer, there's no additional impact in the fall season, I would expect both esoteric and the other diagnostic tests to come back to somewhat normal as we get through the end of the year. 
Glenn Eisenberg: Yeah. Dan I guess I’ll just add too. When you look at our normalized level of organic volume, it was pretty consistent with where we've been, at roughly around 1.3% when you take out the unusuals if you will.  So as Adam said, obviously backing out the impact of COVID, which we said was around a 7.3% impact, then we had three other kind of discrete items, two that were positive. So we benefited from the half of revenue day and that was around 0.7% benefits to our volume growth and then we had favorable weather compared to a year ago of around 0.8%. But that was offset effectively by lower consumer genetics demand at 1.6%.  So effectively a 1.3% for us has been kind of where we track it. Obviously it improved over the fourth quarter, but kind of where we would expect to track and I know you mentioned our competitor. We do talk about them and we do treat the treatment of volume differently for our lab management fees, which would have added around 60 basis points. So we feel really good that the base business from a demand standpoint, a volume standpoint, it's been pretty consistent.  What we've also been very pleased about, that really impacts our revenues even more is on the price side you know and while overall our pricing here we would say is relatively flat, the mix impact really was nice. So again in a similar vein, while we simply show kind of organic pricing at around a 3.4% increase, we had a couple of headwinds and tailwinds.  You know we benefited from – as Adam said from COVID where we have the lower percentage impacted from the esoteric tests, so it mixes this up. That helped us around 1.9%. Similarly with the lower consumer demand, consumer generics demand at a lower price point, that's helped our mix at 0.9% and then the headwind as we talked about already have PAMA and Beacon each at around 1.1%.  So again getting to a normalized price would get us to around a price mix of 2.8%, which actually is tracked higher than what we've done over the past year, you know in line, call it with the last couple of quarters where we’ve been north of two, but we continue to see favorable price mix. So from a revenue standpoint, again excluding COVID, we thought we had actually a very strong quarter. 
Dan Leonard : Yeah, thank you. 
Operator: Thank you. Our next question comes from Derik De Bruin from BOA. Please go ahead.
Derik De Bruin: Hi, good morning. Thank you for taking the question. So I just wanted to go back on the testing site for COVID. So we have seen estimates from anywhere from the need for 500,000 molecular test days and up on that one. I'm just sort of curious in terms of what sort of capacity, expectations or need expectations you're planning for and you're looking for and sort of how you think about that. This sort of goes into a question about, your ultimate share and where you can get it, so the first part of that question is one, on what you think the ultimate testing need will be and how long the duration of that is?  And the follow-up on that one is going to be something similar for serology. I mean there's clearly a lot more serology capacity in the U.S. than there is molecular, and I'm just sort of curious on how you sort of see demand for that market evolving going forward, just getting there are so many more players that can do serology testing? Thank you. 
Adam Schechter: Yeah, hi Derik. A couple of thoughts. First of all, if you look at the overall capacity needed for PCR testing, which is testing to tell if a person actually has the virus, is actively shedding the virus, it's impossible to know the exact number that you need across the United States. I would say right now if you look at what's been done over 5 million tests, that’s pretty significant. I just said that we could do today 1.8 million tests per month and we're going to try to increase that if we can get 100,000 tests or greater a day, alone we could do 2.5 million a month.  And then you would add in all the other commercial labs, the state labs, the local labs, the academic medical centers. I think there's going to be a very significant amount of capacity that at least we'll get people through stage one of what the White House Coronavirus Task force is recommending to get states up and running.  At the same time, we're going to all continue to build capacity, because until there's a vaccine, I think we're going to have to have the ability to continue to do testing to see who have the virus. And I think that type of testing will continue even when there's a treatment up until there is a vaccine.  Separate and distinct from that of the serology, which is to tell who has been exposed to the virus in the past, and scientifically frankly there is still a lot of discussion on what's the most appropriate way to use the serology testing. For surveillance, I think it's going to be used for a long time.  I also believe that as businesses get up and running, they are going to test large parts of the population for serology tests and I believe if somebody tests positive for serology, meaning that they had been exposed to a virus in the past, but probably need a second test in order to validate that wasn't a false positive.  And then, the question becomes how often if somebody who's negative to serology get tested? Is it every three months, every six months, and I don't think that there's any known recommendation at this time.  The good news for us for serology is it’s a blood test, and we run blood tests all the time. We know how to run a blood test and we're going to build as much capacity as we can, we’ll utilize as much of that capacity as we can, but at the same time a lot of those will be run on the machines that we run our typical blood tests on anyway.  So I think for us it's a matter of build as much as you can, see how the science plays out, see how the marketplace plays out, and just be prepared for whatever volume you may need. 
Derik de Bruin : Thank you. 
Adam Schechter: Sure.
Operator: Our next question comes from Erin Wright from Crédit Suisse. Please go ahead. 
Erin Wright : Great! Thanks. I have a couple of questions on Covance. Do you – I guess what percentage of the sites would you consider offline or inaccessible right now? And what percentage of that clinical trial work do you anticipate will convert to more virtual, at-home or remote monitoring?  And then a second part to that would be, how many of these COVID-19 trials have you won and do you anticipate those trials to actually be material from a financial perspective? Others I guess in the industry have downside contribution from this COVID trial? Thank. 
Adam Schechter: Yeah, okay I’m going to start with your last question first, and I’ll answer the other one. So first of all, if you look at the COVID-19 trials, whether they be for antivirals or they be the things that we're doing with a company like PacBio or Ridgeback Biotherapeutics, you know most of them are early stage, smaller trials. So we are winning, I said more than twice our market share would expect us to win, but they are still relatively small times. They are early stage, preclinical or Phase I.  As those progress, I would expect that we would win more than our fair share in Phase II and Phase III and then I believe they become much more meaningful in terms of dollars. Right now they are meaningful because it really is demonstrating the power of having a diagnostic capability combined with drug development capability.  Separate and distinct from that with regard to sites up and running, we think it's that – about 70% to 80% of sites are not up and running at the moment for clinical trials. At the same time we are working hard, because we have made significant advances in hybrid and virtual clinical trials, and I think as the trails come back, there will be even greater utilization for things like hybrid and virtual trials. So we'll continue to work with our pharmaceutical and biotechnology colleagues to help them get their trials up and running as quickly as possible.
Erin Wright : Thank you. 
Operator: . Our next question comes from Ricky Goldwasser from Morgan Stanley. Please go ahead. 
Ricky Goldwasser: Yeah hi! Good morning, and thank you for all the details. A question on reimbursement of the PCR. Obviously CMS raised reimbursements were $51 to $100. But what are your thoughts as testing expense and we shift to Phase II and Phase III. Do you anticipate the reimbursement is going to stay at those levels or as volumes pick up and the testing guidance is relaxed that we are going to see changes to the price metric? 
Glenn Eisenberg: So thank you for the question Ricky. Right now the Medicare price is $100 and that's been our price and our philosophy on pricing, which is to use the Medicare price, which they take a lot of time, spend a lot of effort to think through what is appropriate. And therefore we have charged all customers at that price. I have no reason to believe that that price would change, based upon anything I know today.  And I think that the testing for PCR will continue to grow, but the importance of it, it makes it very cost effective to test patients and actually find out who has the disease and then isolate them, so others don't get the disease. So I think it’s a very cost effective way in order to insure that you do everything you can. At the same time I would say that the capital expense and the difficulty of PCR is pretty high, and doing the PCR testing is not simple. I mean it's an RNA extraction that has multiple steps. So I feel like the reimbursement where it is today is at a good rate. 
Ricky Goldwasser: Thank you. 
Operator: Thank you. Our next question comes from Stephen Baxter with Wolfe Research. Please go ahead. 
Stephen Baxter: Hey, good morning, and thanks for all the color you guys provided today. I was hoping to get a little more insight into the increase in accounts receivable allowance that you guys mention during the prepared remarks. Have you stated to actually see anything yet in terms of your ability to collect on copays and deductibles in the lab side of the business?  And just in terms of what this charge actually represent, is this covering you know Q1 days of service, you know some wider range of time. And then how are you thinking, you are expecting this to play out kind of throughout the balance of the year. And is this going to be an item that you continue to exclude from earnings for the balance of the year? Thank you. 
Glenn Eisenberg: Yeah, this is Glenn. I’d say you know as we look at our reserves for receivables, you know we looked obviously back at prior recessions and big events that occurred in the USSA with the high unemployment rates, the impact that it's having on our customers if you will. Our expectation is that business that we've already conducted, that we currently have as receivables outstanding, we’ve assessed that full amount and have taken kind of a one-time charge or one-time reserve relative to those receivables. We’ll obviously still look to go and collect on them, but it's based upon historical experiences we feel that's an appropriate level to build the reserve for that.  So as we go forward, we have a normal standard process every quarter. We assess the adequacy of all of our reserves. So at this point we would say we're fully reserved based on what we believe and then if anything changes in the future, we’ll adjusted that, but our expectation is that the reserves that we established are adequate to deal with the environment that we're operating in. 
Stephen Baxter: Okay, thank you. 
Operator: Thank you. Our next question comes from Matt Larew from William Blair. Please go ahead. 
Dan Lawler : Hi, good morning. This is Dan Lawler on for Matt Larew. Thanks for taking my question. I wanted to ask about the initial demand that you're seeing for your at-home COVID tests and whether or not you think COVID-19 could be a catalyst for you ramp-up Pixel over the long term? Thanks. 
Adam Schechter: Yeah, hi Dan, thanks for the message. And you know we announced the launch of our Pixel by LabCorp at-home tests for COVID-19 about a week ago, and we're focused right now on frontline healthcare workers and first responders that have symptoms. And you know we've seen the demand is pretty significant in terms of not only people that are going to our website, but other people that are trying to reach out and see when it'll be available more broadly to additional people outside of those subgroups. So I do believe that this may be a reason that Pixel continues to grow over time as we go into the future.  At the same time we do plan to launch Pixel to additional groups of people as we get through the next weeks and I would expect right now we have over 100,000 kits available that will continue to make that much you know as we look out into the future on a weekly to every other week basis. 
Dan Lawler : Thanks. 
Operator: Thank you. I show our next question comes from Michael Polark from Baird. Please go ahead. 
Michael Polark: Hey, good morning, thanks for taking the question. I wanted to get a bit more detail on the goodwill impairment. Glenn, I think you mentioned it relates predominantly to one of the reporting units and drug development. What piece of the Covance business took the impairment and I guess more context around why a lot of companies are viewing the COVID disruption as a transitory influence? I was a little surprised to see a permanent impairment charge taken. Any color on this topic would be helpful. 
Glenn Eisenberg: Sure Michael. It is kind of an interesting exercise given that these are point in time. So as you recall in our 10-K, we commented that we did have one of the reporting units within drug development that was relatively close, fair value versus the book value, and that was performed as we do all of our reporting units, you know based upon September 30 and we report that on it for the year. But when we bring it to our kind of outside firm that does our valuations, it’s based upon a point in time.  And so what's interesting that's happened is now we move forward to March 31 where we've now done it again, and obviously the business has been impacted by COVID and a lot of others, but we look at the valuations or they look at valuations, based upon DCFs as well as just market valuations. And so interestingly when you look at the CRO market multiples, from September 30 through March 30, they are down 30%, and so we are effectively half of the valuations saying the value of the business is down 30% at that one point in time.  Frankly if we were to do it today, you know it would be a very different number, but accounting says you do it on that date and then also given the volatility in the market, you have the discount rate that was increased. So from their exercise on the value of the business on a particular day, you know that caused the decline at which we took the non-cash charge during the quarter. 
Michael Polark: Would you say it’s equally spread across lab clinical early or was this related predominantly by Chiltern or Envigo or anything else that you could specifically call out. 
Glenn Eisenberg: Sure, effectively we have a lot of different reporting units, but the one reporting unit here that's broken out primarily relates to our clinical business. So that's the reporting unit, separate. And as you know when you look at even an acquisition and you break up the pieces to it, it doesn't necessarily say it's reflective of the total valuation of a company.  It's just the specific reporting unit that's broken out, as well as the specific goodwill that allocated to that business at that point in time, and so to your point you could say that within a year ago you acquired a business and you paid the market multiple for that business at that time.  Now all of a sudden you see a 30% correction, that business that you just bought is now theoretically worth 30% less. And accounting would say that’s what you value it at that day, and then six months later you could be back-up to that same market multiple, the valuation goes back up, but you don't write it back up, it's just the convention. So you know just a confluence of events with COVID-19 impacting earnings, results of all the companies, as well as the market valuations resulted in the impairment charge. 
Adam Schechter: And the only thing I would add is strategically there is no doubt in my mind and we're seeing more and more evidence every day, particularly as we go through the COVID-19 pandemic, having the drug development business together with the diagnostic business was a great strategic move.  And I believe in the importance of the combined today as much if not more based upon what we're going through and what we're seeing than I did even before the virus. 
Michael Polark: I appreciate all the color. If I could sneak one more in on the CARES Act, the $56 million that you received I presume in April, will you carve that out of adjusted earnings for future reporting as a housekeeping item, and then do you expect any additional disbursements under the CARES Act? I know there was a second round of payments expected here in the very near term. Anything else you might anticipate to receive? 
Glenn Eisenberg: Yeah, I’d say obviously how we’ll account for it you know we’ll determine as we go through the quarterly and report. I think it's fair to say, given we've even done it now anything that is unusual, we will either call out separately or at least explaining the performance benefited from that. But clearly, to some extent a recoup if you will of the negative impact that we’re being impacted by COVID, as well as the capital spend and other spend that we’re making in order to ramp-up our testing as well. And while there are other tranches of the CARES Act that we could potentially be included in, at this stage it’s just too early to tell what that would be and obviously once we have more clarity on that, we’ll be able to convey that. 
Adam Schechter : Okay. So first of all thank you everybody for joining us today, and I have to say, I’m so proud of the way our company is mobilized to serve patients, customers, our local communities and the world. LabCorp has been innovators in science and medicine to help address global needs and I am deeply grateful to the way in which our 65,000 employees have stepped up in every country around the world.  What we do matters, and I believe it matters more in the future than it did in the past, and I believe it mattered a lot in the past. The challenge is far from over, but as I said previously, I have no doubt that we can beat this virus and also that LabCorp will remain committed to our mission to improve health and improve lives as we move forward. So, thank you so much for joining the call today. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.